Operator: Good day, ladies and gentlemen. [Operator Instructions].
Unknown Executive: Good morning, and welcome to Procter & Gamble's quarter-end conference call. Today’s discussion will include a number of forward-looking statements. If you will refer to P&G’s most recent 10-K, 10-Q and 8-K reports, you will see a discussion of factors that could cause the company’s actual results to differ materially from these projections. As required by Regulation G, P&G needs to make you aware that during the call, the company will make a number of references to non-GAAP and other financial measures. Management believes these measures provide investors valuable information on the underlying growth trends of the business. Organic refers to reported results, excluding the impacts of acquisitions and divestitures and foreign exchange where applicable. Free cash flow represents operating cash flow less capital expenditures. Free cash flow productivity is the ratio of free cash flow to net earnings. Core EPS refers to earnings per share from continuing operations excluding certain items. The effective tax rate on core earnings represents the effective tax rate on continuing operations less non-core impacts. P&G has posted on its website, www.pg.com, a full reconciliation of non-GAAP and other financial measures. Now, I will turn the call over to P&G's Chief Financial Officer, Jon Moeller
Jon R. Moeller: Thanks, and good morning, everyone. Bob McDonald, and Teri List are joining me this morning. I'll begin today's call with a summary of our first quarter results, and Teri will provide highlights of the results in some of our largest product categories. I'll provide a brief update on our strategies and focus areas, and I'll conclude the call with guidance for fiscal year 2012 and the December quarter. Based on your feedback, we're taking a slightly different approach towards the business segment portion of the call. We'll provide all of the information you have historically received through the press release we issued this morning, and slides, we'll post to our website, pg.com, following the call. This will allow us to streamline the business presentation during the call to focus on our largest categories, those which have the biggest impacts on company results. Our objectives is to provide more context on these key businesses, as well as to allow more time to discuss matters of strategic importance and to answer your questions. We're trying to be responsive with this approach to your request. Please let us know what you think about these changes. We'll, of course, take questions after our prepared remarks, and we'll be available following the call to provide additional perspective as needed. The first quarter was a good quarter, putting us on track to deliver our full plan for the year. Top line results came in strong, with organic sales growth of 4% at the high end of our guidance range. Progress was broad-based, with every segment growing organic sales in the quarter. Global market share, on a constant-currency-value basis was essentially in line with prior-year levels and was in line or higher in business representing about 60% of global sales. We held or grew share in 3 of 5 regions, 11 of our top 15 countries, 4 of our 6 reporting segments and on $15 billion of our $24 billion brands. Organic volume growth was 2%, an impressive outcome given the amount of pricing we took in the quarter. As we noted last quarter, we saw about one percentage point of volume and sales growth pulled from this quarter into the prior quarter due to price increases taken in the June-July timeframe. Adjusting for this volume and sales shift between quarters, our underlying growth momentum is somewhat stronger than the 2% volume and 4% organic sales result. Volume and sales growth accelerated as the quarter progressed, with an all-time record shipment month in September. Pricing contributed 4% to organic sales growth and was up in all 6 reporting segments. Mix reduced sales by one point due to a combination of geographic and product mix changes. All-in sales growth was 9%, including a 5% benefit from foreign exchange. Our bottom line results were also consistent with our expectations. Earnings per share were $1.03, up 1% versus the prior year and toward the high end of our guidance range. Earnings per share growth was driven mainly by solid sales growth, cost savings and the benefit of share repurchase. These items were offset by higher commodity costs and marketing investments. Gross margin declined 240 basis points. The combination of pricing, cost savings and fixed cost leverage improved gross margin by roughly 260 basis points. These benefits were more than offset by a 340 basis point negative impact from higher commodity and energy costs and 160 basis point negative impact from the combination of mix and foreign exchange. SG&A costs were up slightly as the benefit from sales growth leverage were offset by higher marketing investments. The effective tax rate for the quarter was 26.2%, consistent with our going-in expectations. We generated $1.3 billion dollars in free cash flow. The first quarter is typically our lightest cash-generation quarter of the year. Beyond this cyclical dynamic, capital spending increased due to our investments in new manufacturing capacity to support our innovation and geographic expansion program. Also, inventory levels increased due to higher commodity costs and ahead of new innovation launches such as Tide PODS, which will come to market in February. We returned nearly $2.8 billion of cash to shareholders this quarter, more than 90% of net earnings via dividends and share repurchase. We repurchased about $1.3 billion of stock in the quarter, and we paid $1.5 billion in dividends. At the current annualized dividend of $2.10 per share, our dividend yield is approximately 3.2%. Now, I'll turn the call over to Teri to review some of the highlights of our business results.
Teri L. List-Stoll: Thanks, Jon. As Jon said, we're taking a somewhat different approach to the business segment portion of today's call. Rather than covering the details of all 6 of our business segments, I'll instead review highlights from some of our larger businesses. For more information on business segment results, please refer to the press release we issued this morning and slides that we'll be posting on our website, pg.com at the conclusion of this call. I'll start with the Beauty business, which delivered solid organic sales in volume growth, led by the Retail Hair Care and Prestige categories. Retail Hair Care's global volume was up high-single digits and value share grew nearly half a point. All brands grew volumes with both Head & Shoulders and Herbal Essences, up double digits. Pantene global volume increased mid-single digits. China growth was particularly strong, up over 30% versus year ago, behind horizontal expansion into Pantene treatments. In our Prestige business, organic volume was up nearly 20%, with broad-based growth in both fragrances and Skin Care. Fragrances growth was across all regions and was driven by recent launches in Gucci, Hugo Boss and Lacoste. SK-II growth was driven by double-digit growth across the core product lines, as well as new launches in the makeup and men's personal care segment. Retail Skin Care shipments were down in the quarter, due mainly to a strong base period that included expansion to new markets in the Central and Eastern Europe, Middle East and Africa region. The business momentum in China and North America, which has been our softest market, strengthened throughout the quarter. We are back to full availability in North America, following the interruption in Olay UV shipments last fiscal year, and we have strong commercial plans for the balance of the year. In China, we launched 3 new initiatives that delivered very strong consumer response and share improvement toward the end of the quarter. In the Grooming segment, the global Fusion franchise continued to deliver strong broad-based volume and value share growth. The majority of this growth has been driven by the launch of Fusion ProGlide, which is now available in over 20 markets around the globe. While Fusion growth has been very strong, Mach3 and lower-priced legacy franchises in developed markets have declined. These brands have been negatively impacted by market contraction in Western Europe and high levels of commercial competitive activity in North America. To adjust these impacts, we're evolving our strategy to fully support all tiers with innovation, advertising and commercial support, the same approach we used across most of our categories. Moving on to the Health Care segment, I'll highlight our Oral Care results. Global Oral Care volume grew mid-single digits and value share increased nearly half a point. U.S. value share was up one point to over 38% behind the loss of the Crest Complete mid-tier line and double-digit volume growth of the 3D White regimen. The markets where we have recently launched Oral-B toothpaste also continued to deliver strong results. Brazil Oral-B toothpaste value share grew to over 5% on a national basis and over 10% in the channels where it is distributed and shares now increased for 10 consecutive quarters since it launched. In Western Europe, Oral-B toothpaste value share growth had accelerated behind the launch of 3D White. Toothpaste share in Belgium is up more than 5 points versus last year to nearly 20%. In the Netherlands, toothpaste share is up more than 3 points to more than 13%. In the U.K., where Oral-B toothpaste launched towards the end of June, our past few months toothpaste value share was over 9%, and the growth across all product forms has driven us to the #2 market share position in the overall Oral Care category. We're continuing the globalization of our Oral Care business. We recently launched in Nigeria and Ghana, and both markets are shifting well ahead of our initial expectation. We're continuing our market expansions, and we'll be launching in Colombia early next calendar year. We'll also continue to rollout a very strong innovation program, including the expansion of our 3D White line to additional geographies. Our Fabric and Home Care business delivered good growth in developing markets. India led the growth in developing markets, with laundry volume up more than 30%. In developed markets, North America fabric enhancer volume increased behind the launch of Downy Unstoppables, and laundry detergent value share in Germany was up 2 points versus year ago behind the Lenor laundry detergent launch. We experienced the anticipated shifting in share volatility in certain geographies, as we priced across much of the business. The relative consumer value of our brands were stretched in a few category/country combinations, namely the laundry powders, auto dishwashing and Hair Care businesses in the U.S. and the laundry category in the U.K., as we took price increases across most of our portfolio and competitive pricing did not increase, or in some cases, they actually went down. More specifically, we saw "buy one get one free"offers across multiple brands from Unilever in the U.K. laundry and U.S. Hair Care category and deep promotions from Reckitt in the U.S. auto dish category. We have a strong innovation program coming over the next 6 to 12 months in the laundry category, highlighted by the upcoming launch of Tide PODS in the U.S. in February, and we're confident we'll resume solid volume and share progress soon. Finally, in the Baby and Family Care segment, global Baby Care volume increased high-single digits, led by developing markets up mid-teens. Global value share was up over one point, with all regions growing. BRIC markets led the growth with average volume increasing over 25%, as we continue to focus on commercial and product innovation across the price tiers. As you can see from this overview, our largest businesses are generally strong. There are a few categories or brands in a few category/country or brand/country combinations where we need to accelerate growth. We know what needs to be done in these areas, and we've begun to see progress in some of them. I'll turn the call back to Jon now.
Jon R. Moeller: Thanks, Teri. We continue to be encouraged by our overall results and the strength of the business, with broad-based top line growth across each of the business segments and continued volume momentum despite the pricing moves we've made. The biggest challenge we face is the significant increase in commodity costs, which has held back operating profit growth. These cost increases created an unanticipated earnings per share headwind of about $0.25 per share last fiscal year or nearly a 7 percentage point drag on earnings per share growth versus our going-in expectations. This quarter we faced an additional $700 million in higher commodity costs. Instead of making the easy, wrong choice to scale back our investments, we've made the difficult right choice to continue supporting our innovation and expansion programs, as we get pricing and cost savings in place to offset higher commodity costs. We do view this as a short-term choice. We have, and are, taking pricing actions necessary to restore profitability in the categories affected by higher commodity costs. As I mentioned, pricing had a 4 point positive impact on growth in the June quarter and it had a 3-point positive impact on growth -- excuse me, 4 points in the September quarter and 3 points in the June quarter. We expect an inflection and operating profit growth in the second half of fiscal year, when we'll benefit from the full impact of the pricing we have planned, when we'll have easier commodity cost comparisons, and as cost savings accelerate. Going forward, our strategy and our long-term growth model continue to be predicated on balanced top and bottom line growth. This focus is evident in the 4 priorities we've set for our organization this fiscal year: Maintaining our top line growth momentum, executing price increases with excellence, delivering solid operating profit growth and improving productivity in all that we do. We've made good progress against these priorities in the first quarter, we delivered solid top line growth, executed significant pricing and further increased our focus on productivity and cost savings. As we've discussed our long-term growth strategy and our near-term priorities with our shareholders, we received a few questions we thought might be helpful to address. One question concerns our ability to maintain top line growth momentum in the current economic environment. We're very well positioned to continue growing in this or any environment. We have a strong multi-year innovation program, which includes recent innovations that we are in the process of rolling out around the world and new innovations that will be coming to market for the first time this year. And we have significantly increased marketing support each of the last 2 years, which puts us in a strong position to support this innovation. We have strong vertical portfolios that enable us to attract an increasing number of consumers to our brands. They also give us more flexibility to take pricing on premium items without putting market share at risk. Our portfolios are much better balanced today than they were 10, 5 or even 3 years ago. We're targeting numerous portfolio opportunities along each factor of our growth strategy. We'll reach more consumers by expanding our category portfolios vertically to more price tiers. As I said, we've made good progress in this area, but we have many additional opportunities to the extend our portfolios to higher and lower price points to make P&G brands more attractive to more consumers. We'll grow by serving consumers more completely. We will improve customer loyalty by delivering new benefits on existing products, and we will expand consumption by creating product regimens that offer better performance and users' experiences when used together. Revolutionary innovations such as Tide PODS, which we launched in February, have the power to transform seemingly mature categories by improving the entire consumer experience with our brands. We'll compete in more categories in more parts of the world. This applies to both developed and developing markets. We compete in 36 product categories in the U.S., but only 28 in the U.K. and Spain, 22 in France, 21 in China and only 16 in Brazil and India. Developing markets have been a significant source of growth, which has helped us manage through the sluggish growth environment in developed markets. The BRIC markets alone have added more than $5 billion to company sales over just the past 5 years. 18 months ago, we embarked on an integrated and focused portfolio expansion plan in the BRIC markets, and they're growing currently at roughly a 15% pace. We've just begun executing integrated plans in 7 additional developing markets. The big opportunity for growth in developing markets has led to the question of whether that growth will be margin dilutive. In just the last 6 years, developing markets have grown from about 23% of sales, or about $13 billion, to 35% or about $29 billion at the end of last fiscal year. Despite this dramatic increase in developing market sales, and despite more than $6 billion or 750 basis points in commodity cost headwinds over the same period, operating profit margins have remained essentially flat. We have a very profitable developing market business. The level of profitability in any individual market is largely a function of scale. For example, China and Russia are 2 of our most developed developing markets, where we compete in 21 and 25 product categories, respectively. Combined, these markets account for roughly 10% of total company sales and have an operating profit margin, in line with the company average. Over an acceptable period of time, as we build out our portfolio, we expect our category expansions to be margin accretive, not dilutive. Any point in time, we'll likely have a handful of developing markets that are in a significant expansion phase. These markets may have lower margins for a few years, but in each of these cases, we have detailed plans to get margins to attractive levels. We've also frequently been asked about our commitment to improving productivity and cutting costs, and through this, growing operating profit. The pricing we're taking is one important step to delivering solid operating profit growth. We faced $1.8 billion in higher input costs last year. Pricing was up 1%, or about $800 million, which left us with a net negative profit impact of about $1 billion before tax. This year, we currently expect an additional $1.8 billion in higher input costs. Pricing those should be up 3% or more, or about $2.8 billion, which should yield a net positive impact of about $1 billion before tax. Of course, the pricing we're taking is not only driven by input costs, we're also adjusting pricing in some markets in response to foreign exchange rate movements, such as in Venezuela, Mexico, Brazil and Turkey. We're firmly committed to improving our cost structure, while continuing to advance our innovation and expansion plans. An important aspect of our productivity and cost savings work year-end and year-out is our investment in restructuring. Over the past 6 years, we've invested more than $3 billion after-tax, or nearly $5 billion before tax, to restructure our operations, streamline work processes and redesign our organization for long-term success. Over those 6 years, we've invested between $250 million and $500 million after-tax each year in our base restructuring program that's reported as part of core earnings. In addition, we've made incremental investments following the Gillette acquisition and the Folgers divestiture to drive cost savings. In the case of Folgers, we invested about $300 million after-tax in incremental restructuring to generate savings to offset the ongoing dilution from exiting the coffee business. As we discussed in our last earnings call, we plan to take a similar approach to offset of the dilution from the exit of the Snacks business. We have not finalized all of our restructuring plans, but given the wide range and speculation on what we may or may not invest this year, we wanted to provide some additional preliminary perspectives. Based on our current plans, we expect to invest up to $1 billion before tax or in the range of $700 million to $800 million after-tax on productivity improvement opportunities to fund both our base and incremental restructuring plans. This represents incremental non-core restructuring investments of $0.15 to $0.18 per share, above last year's base level. Our productivity and savings improvement driven by these investments will affect both cost of goods and SG&A. Within this, overhead productivity improvement is an area of particular focus. We know our overhead costs as a percentage of sale are high. Given the scale advantages of P&G, our objective for overhead cost is to be best-in-class. We have clear opportunities to reduce costs, and the plans we are developing will accelerate our progress. We're taking a design-based approach, which we feel will enable us to make lasting improvements in our cost structure without creating unnecessary distraction for our employees or unnecessary risk for the business. We're well into the design process and are already beginning the implementation phase in some areas. We'll include the incremental restructuring investments, along with gain from the exit of the Snacks business in our all-in earnings per share guidance when we close the Pringles transaction. Given the size of the onetime gain, we still expect a significant increase in all-in earnings per share when we include all these items in our guidance. With all that as context, I'll move to guidance for the fiscal year and the second quarter. For fiscal year 2012, we continue to expect organic sales growth in the range of 3% to 6%. This is based on the assumption of global market value growth of 3% to 4%, comprised of 1% to 2% value growth in developed markets and 6% to 8% growth in developing markets. We estimate the net impact from pricing and mix will contribute between 1% and 3% of sales growth for the year. Within this, we expect pricing and lower promotional levels will add 3 to 4 points to sales growth and that mix will continue to be a sales headwind of 1 to 2 percentage points. This is all unchanged from our prior guidance. We now expect foreign exchange will be essentially neutral to sales growth for the year, bringing our all-in sales growth guidance also to a range of 3% to 6%. On the bottom line, despite significant currency deterioration, we are maintaining our earnings per share range of $4.17 to $4.33 for the fiscal year. This equates to earnings per share growth of 6% to 10% versus base period core earnings per share of $3.95. As we said last quarter, we feel this wide range appropriately and responsibly reflects the range of possible outcomes. Significant strengthening of the dollar over the past few months is a prime example of the volatility we face, which justifies the wide guidance strange. We face similar volatility in material costs. As I mentioned earlier, based on current spot prices, we currently expect commodity costs to be up $1.8 billion before tax, unchanged from our previous estimates. This was down about -- sorry, this also comes at a time that we're dealing with the strengthening of the dollar. While a few materials have come down modestly from their highs, many ingredients accounting for our largest exposures are up compared to going in forecast for the year. Surfactants and alcohols are up more than 10%, and resin-based materials are up as much as 30%. This may seem out of sync for those of you watching West Texas Intermediate oil prices. Resin prices though are tracking with Brent crude trends, not WTI, and Brent has remained high, above $100 a barrel. Combination of pricing, cost savings and use of alternative materials and formulations will offset a large portion of the input cost impact, but we still expect to see gross margin contraction for the year. We expect solid operating profit growth in fiscal 2012, roughly in line with earnings per share growth. As we said on our last call, we're forecasting capital spending in the range of 4% to 5% of net sales, which may result in free cash flow productivity, marginally below our typical 90% target level. Our plans to utilize free cash flow, including paying around $6 billion in dividends, and we're estimating that we'll repurchase between $4 billion and $6 billion in stock during fiscal 2012. This was a slightly more conservative outlook than our last guidance that anticipates higher restructuring spending and reflects our cash progress to date. Importantly, this range excludes the share exchange dynamic, implicit in the Pringles transaction, which will lead to higher effective share repurchase for the year. Moving to the October-December quarter, we're estimating organic sales growth in the range of 3% to 5%. We expect pricing and mix to provide a combined net benefit of 1 to 2 points. We estimate foreign exchange will be neutral to sales growth for the quarter, which leads to all-in sales growth also in the range of 3% to 5%. On the bottom line, the December quarter will be another challenging one. We will face very difficult commodity cost comparisons, without having fully realized the offsetting benefits of pricing. Currency has also worsened, and it will take some time to get appropriate pricing in place. Volume growth will continue to be pressured by slow developed market growth and by our price increases. And we're comparing against a base period with a very low tax rate. We expect December quarter earnings per share in the range of $1.05 to $1.11 or down 5% to flat versus all-in earnings per share of $1.11 in the base period. Compared to base period core earnings per share of $1.13, we expect earnings per share to be down $7 to down 2%. Recall that the effective core tax rate in the base period was just 22.4%. We're expecting a rate between 26% and 27% this quarter, which results in an earnings per share headwind of about $0.05 to $0.06 per share or about 5 percentage points of core earnings per share growth. Adjusting for the tax headwind, our normalized core earnings per share growth rate is more like a range of down 2 to up 3. As I mentioned, we'll be updating our second quarter and fiscal year guidance when we close the Teva joint venture, potentially in the next week or so, and again, with the Pringles divestiture transaction in early to mid-December. We'll use these opportunities to update guidance for the transactions, as well as any new visibility on base business progress. As we look beyond the December quarter, we expect an inflection in operating profit growth in the back half of the year. This will be driven by an increase in benefit from pricing, accelerating cost savings and a declining year-on-year impact from commodity costs, assuming material and energy costs stay in their current market rates. In terms of pricing, our back-half plans include some additional commodity-related increases, and we're pricing to help offset the impact of currency devaluations in some developing markets. While we expect material costs to be up mid-teens in the first half of the year, they should be up only slightly in the back half of the year and down by the end of the year. That concludes our prepared remarks and now Bob, Teri, and I would be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of John Faucher with JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: Jon, or Bob, you guys have spent the past few years reinflating some of the spending lines, which had taken a hit over the past couple of years. And so as we look to this hockey-stick acceleration you have budgeted for the second half, how do we get comfort that sort of the first half of calendar year '12, we're not going to end up seeing -- either seeing sort of the state of negative revisions we've had over the past couple of years, or conversely, a situation where you guys end up giving up the marketing spending that you've built up over the last couple of years. So any thoughts in terms of giving us some comfort on that huge acceleration in the back half, particularly, from a spending standpoint?
Jon R. Moeller: First, I'd say, marketing spending, as you rightly point up -- out, John, is up 24% over the last 2 fiscal years. So there's significance strength in that program. We're planning on increases again this year, albeit more in line with sales growth, as opposed to ahead of sales growth. And we're committed to that spend. And we have a very exciting initiative program in the back half, which we will support. What gives us confidence in what you referred to as the hockey stick or the improved results in the back half are the things I mentioned earlier on the call, namely, the full year impact of pricing, and pricing is going very well right now. Second, commodity cost comparisons would be much easier in the second half, and there'll be a tailwind by the end of the year. And then, third, our ongoing cost and productivity efforts should accelerate as we go through the year.
Robert A. McDonald: John, I also think that our top line growth this quarter -- this past quarter of 9% and 4% is evidence that we're working against our purpose and our purpose-inspired growth strategy. Our purpose is to improve lives, and we know we need to do that by shipping product. We've turned that into a growth strategy, and Jon talked about it in his remarks, more consumers, more parts of the world, more completely. And as you know, from our analyst conference here in Cincinnati, we laid out for you detailed plans through 2015, '16 that would get us into the top third of our peer group in total shareholder return. We are on track with those plans, and we're not going to deviate from those plans. And we're trying to deal with the volatility we have externally and still deliver those plans. And I think what you see this quarter is that we're on track.
Operator: Your next question comes from the line of Lauren Lieberman with Barclays Capital.
Lauren R. Lieberman - Barclays Capital, Research Division: I just wanted to just follow up. I know Jon, you said the pricing is going very well, and that's kind of evident in the numbers, but you did also highlight some spots where it's -- the competitive environment is a little bit more challenging. So I guess that, combined with intention to take more pricing in the back half where, FX kind of necessitates it, where do you stand on your sort of patience threshold for waiting for competitors to kind of fall in line, if you will? And where do you stand on market shares and price gaps in those particular hotspot categories?
Robert A. McDonald: Lauren, this is Bob. Obviously, we are taking price increases. We are about -- through about 2/3 of the price increases we're taking this fiscal year. As Jon said, the customer retailer response has been positive. Generally, the competitive response has been positive, following our leadership in taking those price increases. As Jon also said, we're growing share or holding market share in 60% of our business globally. But as you indicated, Jon did identify a couple of category country combinations, where competition has chosen, at least in the short term, not to follow. We talked about in the U.K. Hair Care category, Unilever did a buy 2, get 1 free across 65% of its Hair Care business. In U.K. laundry, where we've been growing share, we've seen Unilever's volume sold on deal go up above 80%. In U.S., auto dish Reckitt's not increased prices, we've been growing share there. And in U.S. laundry, Church & Dwight average powder pricing is flat, and liquid pricing have actually declined, where as we've increased prices. We're going to continue follow through on the pricing that we've taken, and we're confident that we will continue to get the right value equation with our consumers and continue to hold or grow share.
Jon R. Moeller: I would just add 2 things. One is, we're early in this game still, and so there's no reason to change course. The other thing that I think is important is the geographies -- country/category combinations that Bob mentioned are -- he mentioned 4 country/category combinations across the entire portfolio of hundreds of country/category combinations. And in general, as is evidenced by the strength of the market shares, we're in pretty good shape.
Robert A. McDonald: Yes, and these -- all these 4 areas where we've grown a substantial amount of share. We're up about 55% share in U.K. laundry, the home market of a competitor. So I mean, the situation is understandable.
Operator: Your next question is comes from the line of William Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Trying to do this in one question. So if you look at the incentive compensation structure -- now the long-term incentive compensation, the proxy, it looks like you lowered some of your EBIT growth assumptions. So is that to be construed as kind of the long-term algorithm? And then if that's the case, do you think the $1 billion of restructuring, does that get you there on the U.S. cost structure, given, call it, low-single digits category growth?
Jon R. Moeller: I think, Bill -- and I'd be happy to talk this offline, but the EBIT numbers that you're looking at in the proxy relate to this fiscal year only and are entirely consistent with our guidance. Does that not change our long-term expectation or algorithm?
Robert A. McDonald: Remember, Bill, our long-term goal continues to be, to be in the top third of our peer group in total shareholder return, that has not changed.
Operator: Your next question comes from the line of Nik Modi with UBS.
Nik Modi - UBS Investment Bank, Research Division: So just a quick question, if you can provide any perspective, the whole white space initiative, whether it be geography or category, how has those businesses -- how have those businesses grown 1 year after, 2 years after the initial launch point? If you can provide any context, and also how the profitability has migrated? I know it's probably different by market, but any general thoughts you can provide there would be helpful.
Jon R. Moeller: Sure, Nik, this is Jon. And I'm going to apologize, but I neglected to answer, I'll call it part 2 instead of question 2 of Bill's question. Let me do that first, and then we'll answer your question Nick. Bill, I apologize. Relative to restructuring, it -- this will significantly accelerate our progress. It doesn't get us fully to where our end point is. But we'll continue restructuring the business as we have. And we're very confident that we'll get there over the right period of time, and that we'll make dependable progress each year. I'll turn it over to Bob to answer your question, Nik.
Robert A. McDonald: Nik, generally, as a headline, I would say that in all of the places we have entered category white spaces, country/category combinations, of which, as you recall, we laid out that there are 250 new category/country combinations we're entering from 2009 to 2015, '16. All of them continue to be on track, or above our expectation. And examples would be, if you look at our Oral Care business, for example, the expansion of Oral-B paste in Brazil, as Jon talked about, we're now over a 10% share in the channels where we compete, 5.5% share nationally, trial and repeat rates continue to trend well above target. In June, the leading business publication, in their annual ranking and most valuable brands in Brazil, ranked Oral-B in the top 10 for the first time ever. And our primary competitor wasn't even ranked. We've grown share there now for 10 consecutive quarters since we launched. So I mean, I could go on and on, but we purposely set up these plans in a relative -- relatively conservative way, estimating what we think the competitive response will be so we can make sure we deliver results consistent with our -- with the progress that we want to make.
Jon R. Moeller: And I would just add one point, Nik, which is not all, but a significant number of these expansions over the last 18 months occurred in the BRIC markets. And I mentioned in my remarks that we're growing the business 15% in those markets cumulatively, which is certainly emblematic of continued success, that's about 6 points ahead of market growth rate that we saw in the last quarter of 9% in those markets.
Operator: Your next question comes from the line of Chris Ferrara with Bank of America Merrill Lynch.
Christopher Ferrara - BofA Merrill Lynch, Research Division: I'm wondering if you guys can give some color around what you think the market opportunity is for something like Tide PODS. I guess, what proportion of the total laundry market you think you can take in a market like the U.S.? And if you can just give a little color around the economic environment we're in, and how that affects what your launch plans are, and what your expectations would be?
Robert A. McDonald: We know that the consumer is very sensitive in these economic times to innovation. We've seen that as we launch things like Crest 3D White, Downy Unstoppables, Fusion ProGlide. When we get it right, when we get the consumer segmentation right, when we get the innovation right, consumers are looking for these kinds of innovations to improve their lives. I think when you look at Tide PODS, it's helpful to look at the dish category and to look at what we've done with unit dose in the dish category. Now, all unit dose is not created equal. Our unit dose has a proprietary technology, proprietary film technology, proprietary liquid technology, proprietary making technology that can't be copied. That results in a holistic innovation that we know consumers love. For example, over 90% of consumers who have tried Tide PODS described a significantly better experience. When you look at the other dish category, we estimate that Tide PODS can grow to about 30% of the market. It's the most concentrated form of laundry detergent you can get, so it's better for the environment, it's better for space and consumers' homes. It has great, great cleaning performance. Everybody wins with Tide PODS. So our expectation is, over time, you'll see it grow to about 30% of the category. We're launching initially, as Jon said, in February in United States, but obviously, we're going to take it global as quickly as possible, and it will be a major platform on which we will build in the future.
Operator: Your next question comes from the line of Wendy Nicholson with Citi Investment Research.
Wendy Nicholson - Citigroup Inc, Research Division: It strikes me that the biggest risk to the back half really is on currency, because if you're forecasting a neutral impact on the top line, which I think pretty much translates to the bottom line versus the 2% to 3% lift that you had expected before, I'm not sure why you’re sticking with your prior earnings guidance. And I know you're planning on taking some pricing in emerging markets to offset that, but that strikes me as risky, given how focused you are in growing your market shares in those emerging markets. And it doesn't really sound like commodities are going to provide that much of a tailwind. So why hold on to the back half guidance, as opposed to double down and reinvest more and just say, "Hey, currencies are what currencies are, and we're not going to get the lift we thought we were."
Jon R. Moeller: First of all, you rightly mentioned, we should be able to price in many cases to be able to help mitigate these currency impacts. Having said that, you're also right, this is a negative development in our forecast since we last talked. But we've worked hard on the cost savings and productivity pieces of this, and we still feel comfortable with our guidance range.
Robert A. McDonald: Wendy, I'm very encouraged way that work that we've been around improving the productivity of our company. This has been a leadership effort that our leaders have driven throughout the organization to find ways to flatten the organization, to allow people to operate with greater agility. And I think as we continue digging, we're finding more and more potential to improve the operations of the company, to shift our center of gravity more to where the growth is, where the babies are being born in Asia, in Africa, Latin America and to clean up some of the complexity which we inherited when we made a number of acquisitions in prior years. So I think there's a lot of potential there, and I think it's something that we simply have to do, and this demonstrates our confidence in being able to do that.
Jon R. Moeller: I also think, Wendy, that -- I mean, you know our philosophy of this in the past, and that hasn't changed which is, we're not going to follow short-term fluctuations in either commodities or currency out the window to the detriment of the execution of our strategy. We are going to execute our strategy consistent, consistent with the answer to John's question earlier. But we just feel comfortable at this point that we can do that and deliver somewhere within that range.
Operator: Your next question comes from the line of Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: So I'm kind of torn, I guess, because this quarter looks a lot like previous quarters, where the top line was good but the margin suffered. Plus it seems like, yes, your losses were concentrated and a few kind of were country/category combinations, but those led to, I think, share loss within -- for North America, for Western Europe, your 2 biggest markets. Now you continue to expect kind of more reflection on margins going forward. But I guess, I struggle with delineating and actually getting a little bit excited about maybe even -- about how much of that comes from just for commodities to roll over and competitors to catch up on pricing, versus the foray you've made into more practically much more aggressively pushing on cost cutting. And I say that in the context of $1 billion is a good start, because $1 billion is call it, 120, let's say, to be nice basis points on sales. But your competitors like a Kimberly, or a Colgate, or Unilever do that within 2 quarters, right, for their scale at least. The $3 billion in the past few years sounds impressive, sounds good, but call 350 to 400 basis points is what that relates to, and that's what Colgate does in 2 years. So going back a little bit to the question before, how much are you are proactively going after this, why not more aggressively, why not more, why not more quickly in the competitive context, and frankly, the market conditions that you're facing right now?
Jon R. Moeller: Okay, I think there were about 30 questions there. But let me start with some of the quarter dynamics, and then we'll get to your question on restructuring. You mentioned a margin compression in the quarter, that's absolutely correct. Operating margins were down 260 basis points, more than 100% of that 340 basis points, is our year-on-year commodity impacts, which should neutralize, assuming current spot prices, as we get to the back part of the year. So a part of the evolution in operating profit growth is, as you say, timing, as we wait for those commodity costs to roll over. At the same time, we are being, as Bob mentioned, more focused on cost and productivity. I think that the question of how much we should spend on restructuring is not really so much -- is not the best question. And I apologize, if that came out the wrong way. But the right question is, what's the endpoint? And we are committed to be best-in-class in overhead cost structure within our industry. We feel we have plans to get there. We want to do that in a way that doesn't disrupt the business that enables us to execute the strategy that we've been discussing, but still makes measured year-on-year progress.
Robert A. McDonald: And while we're -- as Jon said, while our goal and plan leads to best-in-class in the industry, it's a scale-adjusted best-in-class. So we're not giving ourselves the advantage of scale. I think the only thing you have to remember too, Ali -- and I know you know this is, as we are restructuring the business all over the world and in different ways, we're also in the process of one of the largest expansions of the business in the history of the company. We have roughly 20 plants under construction right now. As I said earlier, we're putting a new baby diaper line somewhere in the world every 4 weeks. We have to hire the people to run those factories too. And while we hire fewer people to run those factories -- because today for the average factory we have, we're producing 25 over 25 million cases a year versus when I joined the company, we were producing about 7 million cases per factory per year. We do have to staff those operations in the parts that we're growing. So it's not an, either/or, it's an and, and we're trying to get the balance right to be best-in-class on scale-adjusted on the cost side in order to be top third of our peer group in total shareholder return. We think we've got the balance right, and time will prove that.
Operator: Your next question comes from the line of Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Just a couple of quick ones, if I could. First, just to follow up on the discussion of overheads, could you give us, directionally, what was the change in your overhead spend this quarter versus a year ago? It would be very helpful to track that and your progress going forward. And then secondly, and I apologize if I missed is this, what was the market growth in developed versus developing markets? And how does that compare to what you expected coming into the quarter?
Jon R. Moeller: Joe, overhead in the quarter was down 20 to 30 basis points. And then that was offset by increases in marketing spending. In prior quarters, we've been down significantly more than that, so it's a bit lumpy by quarter, but I would expect quarter-on-quarter progress on overhead as a percentage of sales. Relative to market growth, this is a market growth in value terms since July-September quarter. Global market growth was around 4% based upon our geographic mix of business. Developed markets grew about 1% and developing markets continued solid growth of about 9%. For the year -- for the fiscal year, we expect global market value growth of 3% to 4%. This assumes developed markets grow 1% to 2% and developing markets grow 6% to 8%. We're expecting essentially no growth in developed markets on a volume basis with any value growth being driven by higher pricing in our categories. So if you look at the last quarter from a P&G growth standpoint, we grew in both developed and developing, but the growth was very modest in developed, most of the growth from developing.
Operator: Your next question comes from the line of Dara Mohsenian with Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley, Research Division: Bob, it'd be helpful to get an update from you on what you're seeing from a consumer-spending standpoint in your key reasons, given macro concerns, particularly the U.S., Russia, China and Brazil? And if you believe consumer spending is slowing at this point and impacting category growth rates in those regions?
Robert A. McDonald: In terms of consumer spending, we really don't see much difference today versus what we've been seeing since about 2008, which is in the developed markets, you have a bifurcation, you have on the high end, people with their incomes continue to expend, growing very strongly and continuing to spend on premium products. I think the success of our Crest 3D White, which is a premium-priced product is evidence of that. I think the demand, which caused us to delay the launch of Tide PODS is evidence of that. Innovation is very attractive to these people. On the other end, you've got the people who are unemployed or seeking employment, and they continue to find ways -- try to find ways to cope. Interestingly, that is either by shifting the channel or by shifting the brand and that's one of the reasons it's so important for us to have a vertical portfolio of brands from -- let's take U.S. laundry as an example. From Tide Total Care on the high end, which is an index of 160 versus regular Tide in price, and as the amalgamation of the world's very best technology we have to clean clothes and also care for fabrics, to on the lowest end, Era, which is an index of 60 versus regular Tide in price, which is sufficient cleaning for like an empty-nested family without a lot of soil on their clothes. And that's one of the reasons our strategy necessitate to us getting our portfolio -- vertical portfolio right, as Jon talked about in his remarks, in every single country. In developing markets, we're continuing to see strong growth. As I said earlier in answer to Joe's question, developing market growth of 9% on average is really strong and it's above the 8%, historically, we had seen in prior consecutive quarters. So, developing markets are continuing to grow very strongly. And as we continue to roll out our 250 new category combinations in country white spaces, we're taking advantage of that growth. That's why of the 20 new plants or so that we have under construction right now, 19 are in developing markets. So it's a key potential for our growth, because we have a much lower footprint -- lesser footprint today than virtually any of our international competitors in developing markets. So our growth potential in those markets is quite higher, and we want to realize that.
Operator: Your next question comes from the line of Bill Chapell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Just want to follow back up on the commodity question, just as even this morning we've seen markets spike, including oil. Just trying to understand how much cushion there is since you're not hedging anything to the back half. I mean, what do we see if we do see the volatility towards the upside over the next 2, 3 months? And how does that affect your numbers?
Jon R. Moeller: Well, first, I would mention that part of the reason that commodities are spiking this morning is because of the currency dynamics, and a lot of the global commodities are denominated in dollars. And so typically, when we see a commodity health, we typically have a currency hurt. Typically, when we see a commodity hurt, we typically have a currency health. So those things don't completely offset each other, but they are very interrelated. The other thing I would say is just given the inventories, both in raw materials and finished products, if things move right now, it will be 6 months in large part -- things like diesel would be sooner than that, but generally about 6 months before those items would start rolling through the income statement. So there's not a ton of risk though, clearly, there is some as the year progresses.
Robert A. McDonald: I think it's also important, Bill, to realize that we're working very hard to find substitutes for raw materials that have volatility in price. Not that we would move to the substitute wholesale, but what we want to do is have the ability to replace materials that spike in price. And tonight, for example, we got our major suppliers in the Cincinnati from around the world. And one of the things I'm talking to them about is the application of our R&D spend, which is $2 billion -- over $2 billion a year, 50% more than our next largest competitor. And a lot of those PhDs that we have are working to find substitutes for oil-based chemicals and other chemicals, which are not renewable. We want to get to 100% use of renewable ingredients for our products, and we're working very hard on that. So over time, you're going to see a dislocation between the price of oil and our cost of goods sold.
Operator: Your next question comes from the line of Edward Kelly with Credit Suisse.
Edward J. Kelly - Crédit Suisse AG, Research Division: Jon, you mentioned wanting to get to a best-in-class cost structure. Can you help us understand where you see the biggest opportunities, over what period of time you're talking about, and how we, as investors, should measure this?
Jon R. Moeller: If you go back to the our Analyst Day materials which are -- which continue to be on our website, you can see a dementalization of the type of opportunity we think is possible here, in terms of dollars. Having said that, we are truly committed to best-in-class and that best-in-class bogey doesn't stand still. So there are -- it's a significant effort that's underway. The timeframe that we talked about is through '15, '16. Again, as Bob mentioned, we don't want to do this in a way that's disruptive. We have significant growth opportunities in front of us, and we want to realize those, while at the same time working very dependably and reliably on increasing productivity.
Operator: Your next question comes from the line of Javier Escalante with Consumer Edge Research.
Javier Escalante - Morgan Stanley: I know that a lot of questions have been on the savings and restructuring, but I guess, if you can revisit this in a slightly different way in terms of what is the target for 2012 relative to what it was in 2011, both in savings and restructuring. And then if you can help us understand how much savings you generated in this quarter, and so we understand better the more controlled aspect of your guidance that is not related to commodities, is not related to the sustainability of the price increases. Are these savings coming from the service centers or it's coming from consolidated MDOs? Anymore physical understanding of what you are doing on the savings side will be helpful. And if you can comment what you're going to do with razors and the growth on disposable market will be great, too.
Jon R. Moeller: Okay. So I mentioned in my remarks that I was providing some preliminary perspective on restructuring. We'll provide more detailed perspectives at -- when we finalize our plans, which aren't finalized yet, and when we close the Pringles transactions which should be sometime in the month of December. So I understand the question. I respect the question. I'd like to answer it with the benefit of our full plan in place, as opposed to right now. Bob, you want to talk about blades and razors?
Robert A. McDonald: Well, in Teri's remarks, when she talked about blades and razors, I think she talked about the fact that we're going to be supporting our entire vertical portfolio of razors and blades. We've been doing this. We've been doing it in Asia. We've been doing it in Latin America. We've been successful against new entrants, both new systems as well as new disposables. And basically, that is the way we operate our businesses. We have a full portfolio of products, and we support each one of those products against its starter consumer group, with marketing support. And so we're going to be doing that. We have a great portfolio in razors and blades, everything from Fusion ProGlide on the top to terrific disposables, which are superior to competition on the bottom, all of which will be supported with their relevant consumer market segment.
Operator: Your next question comes from the line of Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: Jon, I think you mentioned really in the call that volume and sales growth progressed positively as the quarter went on with the September record sales month. Can you just talk a little bit about what contributed to that? Was it specific product launches, improvement in specific regions and is that expected to persist?
Jon R. Moeller: There was a general strengthening, as we went through the quarter. And it's not surprising, given the pricing dynamics, typically takes us kind of 3 to 6 months both for competitors to follow and for our consumers to digest the new pricing. And so we saw positive developments on both of those fronts as we went through the quarter. I wouldn't attribute it to any specific initiative or geography. It's broad-based.
Operator: Your next question comes from the line of Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC, Research Division: And I apologize if you did talk about this earlier. Can you just talk about, I guess, that POS trends, retail destocking. We've heard a little bit about this just in the back half of the year. But I was just wondering in the U.S., Europe, which categories you might be seeing pressures. Or are there anywhere the retailers are really trying to manage their inventories a bit better, and you're seeing a little bit of a push back contributing to the category weakness?
Robert A. McDonald: Jason, we actually work with retailers around the world to help them reduce their inventory, while at the same time, reducing ours. We work with them as partners to reduce the total inventory in the supply chain in order to free up cash for them to make their stores more shoppable, increase their sales. And for us, to get the cash out of our supply chain in order that we can pay our dividends and buy back our stock, I've not seen anything extraordinary relative to the work on supply chain inventory, other than what does occur. And it's obvious, which is in the last month of any quarter, depending upon the quarter, our retailers used to close the month they used to close their quarter. They work to get their inventory down particularly low during that month. But fortunately, all of our retailers have different fiscal years and different quarter structures, so you really don't see that as a onetime event.
Jon R. Moeller: Yes, was a little bit. And, of course, we operate in different categories so that can explain the difference. But I've been a little bit surprised by some of the competitive comments on this front. I would just echo what Bob said, we really haven't seen a dramatic change.
Operator: Your next question comes from the line of Tim Conder with Wells Fargo.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Sort of a two-part one question. First of all, when you go into a new market, in the first year or so, where do normally the market share gains come from? And then as you progress into that market over the next, in say, years 3 to 5, where do those market share gains, again, generally come from? And then in that context, can you comment how are those trends holding in what you're seeing in the markets that you made a push in the last couple of years? So that's part one. And just to circle back on the commodity cost in your guidance? In context of your present planned restructurings, and given the commodity costs, do you see operating margins turning positive as far as year-over-year by the back half of this year, or at the latest, by the beginning of fiscal '13?
Robert A. McDonald: Tim, on your first question, it's really not a variable of time or even competitive company. It's more a variable of consumer market segmentation. So, for example, when you launch something like Crest 3D White, let's take North America as an example, you're targeting that toward beauty-conscious oral care consumers. Now they're, obviously, health-conscious oral care consumers, and they like Crest Pro-Health. And Crest Pro-Health then grows amongst that consumer group, taking business from those consumers who want a health offering, but find that the competitive help offering isn't quite up to the standard they want. In the case of 3D White, it comes from the beauty care consumer, and there've been brands in the marketplace -- competitors in the marketplace, offering a beauty care solution that frankly hasn't worked. And so we look at it on a consumer-group basis rather than on a period-of-time basis or a competitive-company basis. Well, whether or not we hold those, the answer is yes. And again, it comes back to, how tightly is your -- how knowledgeable are you in your consumer segmentation, how tightly is your brand offering targeted against that consumer segmentation and how innovative is your product and marketing to deliver the benefit that consumer groups look for? When you look at 3D White regimen, for example, the 3D White regimen alone has contributed 3 share points to P&G's market-leading value share of 38% in the U.S. So it demonstrates that, yes, this is something the consumer wanted, and yes, it's doing extremely well and we continue to grow share over time. Another example would be Fusion razor and blades, which has grown shares since it was launched, and we'll continue to grow share. Another example is Pantene in Brazil -- or Oral Care in Brazil. These things grow share over long periods of time.
Jon R. Moeller: And importantly, to the extent that we're bringing innovation to these markets, generally to the markets are growing. So it's not just a share gain, it's a market growth dynamic, and that's a significant source of growth, if we do it right. So it's not, as Bob said, and in some of his earlier remarks, it's not 0 sum. Relative to operating margin, not only in the second half, but on the fiscal year, we expect positive operating margin growth. I mean, there's no way you can get to our guidance numbers, given the first quarter results and our second quarter guidance, without assuming significant margin accretion in the second half.
Operator: Your next question comes from the line of Alice Longley with Buckingham Research.
Alice Beebe Longley - Buckingham Research Group, Inc.: I have a housekeeping question, a follow up and then my real question. You said volume was down low-single digits in developed regions. Was it down in Europe more than the U.S., less or in line? And also, could you give me -- give us price and mix trends in the developed regions alone? That's my housekeeping. The follow-up is you said that you are going to broaden your innovation in blades, including Mach 3 and other value brands. Can we expect some innovation and more marketing sometime this year in the U.S.? And then the final and related question that's more long term is your pretax margins in the U.S. are very high. They were, I think, 29% last year and had gone up. Can you keep -- those are really high, with your strategies to broaden out your price points, can you keep your margins that high or even expand them?
Jon R. Moeller: Let me just handle the housekeeping question first, and I'll turn it over to Bob. And what I'd suggest Alice is that you call John Chevalier after the call, and he can help you with any housekeeping that's needed.
Robert A. McDonald: Well, relative to razors and blades, yes, we do have innovation in the U.S. Fusion share in the U.S. now is about 36%, which is up one versus a year ago, and we remain the market leader with blades and razors at about 73% share. I think we can grow that a lot more. And I think we can grow that a lot more with better marketing and more trial of ProGlide, as an example. We are innovating all across the spectrum of razors and blades. In fact, one of our fastest-growing razors and blade items is Gillette Guard, which we launched in India, which is the lowest-priced system that's available with replacement blades at about INR 5. It's off to a great start, and we will be expanding that around the world. So again, the way we think about innovation is we innovate through each discrete consumer segment all along that price or value-tiered portfolio. And as Jon said earlier, our after-tax margin in developing markets are roughly equal to our after-tax margins in developed markets. So we're doing that in such a way that our -- it is accretive to profit, and it is at about the same profit margin.
Operator: Your next question comes from the line of Mark Astrachan with Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Building on some earlier questions about developing markets. Curious how do you weigh which categories and brands are introduced into these markets, particularly, what's the thought process behind introduction to a category right like Oral Care, which has some large share players and Beauty, which is more fragmented. And sort of related to that, how do you think about growth in these markets over a longer period of time? I know it's been trending at high-single for low-double digits in recent years?
Robert A. McDonald: The way we think about it, Mark, is that, do we have a right to win? And what's the return on investment? So, for example, in Oral Care, we have a unique moment in time where we've acquired the Oral-B business, the leading brush business in the world. We have a formula called Pro-Health or Pro-Santé or Pro-Expert, depending upon the market you're in, which is the very best toothpaste formula you can make for a health-conscious consumer. It's the only one that deals with all 7 signs that an oral care professional looks for. And we were able to figure out how to cost save that formula substantially, which lowers the breakeven point and increases the return on investment when we launch it. At the same time, we've developed new flavor technology which gives us a competitive advantage versus the leading brand in every market. And we figured out how to segment the consumer in such a way to be able to take advantage of the fact that there are health-conscious consumers, there are beauty-conscious consumers. We address the beauty conscious consumers with 3D White. We address the health-conscious consumers with the Pro-Health. We address the basic consumers, consumers looking for a basic offering in Complete. And that consumer segmentation is a competitive advantage, because, for example, we are a beauty company, we know beauty, and we're able to offer 3D White product that our competition probably didn't think about, until we had already launched it. So it's an intersection of a number of the things that prove our right to win and a high ROI, and that's why we go for it.
Jon R. Moeller: And I think on the question of sustainable developing market growth, we're really on the cusp of something here that's pretty exciting. When you talk about the formation of 250 million middle-income households in China in the next 10 years, you combine that economic reality that's true across the developing markets with the aspiration levels of these societies and you’re at the beginning, potentially, of a significant growth in trade-up cycle that I don't see the near-term into.
Operator: Your next question comes from the line of John San Marco with Janney Capital Market.
John P. San Marco - Janney Montgomery Scott LLC, Research Division: I'd just like to follow up on that last question, please, about how you make decisions on market category combinations. On both primary considerations, first, how do you define having the right to win? And then secondly, what's the time horizon on which you evaluate those returns on investments before introducing a new category combination?
Robert A. McDonald: John, generally what we -- when we talk about the right to win, we look at the Procter & Gamble company's 5 strengths. Those 5 strengths are innovation. Do we have a winning innovation? Their branding. Do we have a winning brand, marketing approach? Go-to-market. Are we able to reach the consumers we want to reach? And as you know, we're trying to add 200 million new consumers to the Procter & Gamble franchise every year. We're up to 4.4 billion consumers in the world using a Procter & Gamble product, at least one each year. We want to get to 5 billion consumers by the year 2015. We've been successful in adding 200 million a year since 2009 when we were at 3.8 billion consumers. Global scale. Do we have global scale? I talked about the importance of the Oral-B brush business to give us a oral care platform around the world. I think I've covered -- and customer knowledge. Do we have the right consumer knowledge, which leads to competitive advantage in consumer segmentation that I described earlier? The interesting about consumer segmentation is the company that figures out consumer segmentation and innovates to that segmentation generally wins, and the company that does that generally is the one with scale. So, for example, let's take Family Care in the United States. In Family Care in the United States, we've got the Charmin brand, we have a soft version of Charmin, we have a strong version of Charmin. We have a lotion version of Charmin. We have a basic version of Charmin. No one competitor is large enough to have that consumer knowledge. We spend $400 million a year on consumer knowledge. We spend $2 billion a year on research and development. No competitive -- competitor can match that segmentation. No competitor can design the technology to meet the consumer need in that segmentation. That is a competitive advantage that leads to share growth and profit growth over time.
Jon R. Moeller: So we're going to close out the call at this point. I want to thank everybody for joining. We're very happy, again, with our first quarter. We think, particularly, given the pricing that we took that both the top line and the market share, indicative of success in that regard. And we continue to be confident in our fiscal year guidance range. I would encourage you to go to our website to access the slides that I mentioned earlier, which will give you more detail on the segment results. And if you have any feedback for us on that presentation or the structure of our interaction, please let us know. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect, and have a great day.